Soren Skou: Good morning, everybody, and thank you all for listening in on our Earnings Call for the Fourth Quarter and Full Year of 2021. My name is Soren Skou. I am the CEO of A.P. Møller - Mærsk. And today, I’m joined by Patrick Jany, our CFO; and CEO for Ocean & Logistics, Vincent Clerc, who will give some further insights and details on today’s announced intended acquisition of Pilot Freight Services. Before we get into the numbers, let me spend a few minutes looking back at -- on a year that was extremely in many ways due to the direct and indirect impact of COVID-19. During the year, it has been a cornerstone in our strategy to help and support our more than 100,000 customers, both large and small, around the world through these quite extreme market conditions. As part of that, we have within the Ocean increased the fleet capacity to 4.3 million TEU. We have added 300,000 FFE of new containers. And in Logistics & Services, we have opened 85 new warehouses during 2021. And finally, we have invested significantly in Terminals to improve gate turnaround times and increased utilization to record levels. We have further progressed on our digital transformation, improving the end-to-end customer experience. And as you can see on the chart here, for example, 50% of all transactions in 2021 was now frictionless, meaning all customers self-serve on maersk.com with no calls or e-mails between Maersk and the customer. Digitalization is a key area in our continued transformation that we will invest in, in the coming years, to continue to improve the customer journey, but also to create efficiency and scalability of our business model. I am very happy and proud that despite all the disruptions and congestions our customers have experienced, our customer satisfaction score is at record high level leaving 2021, which for me is a confirmation that customers appreciate the integrated strategy and the many initiatives we have taken throughout the year to help and support our customers. The strong customer satisfaction translates directly into business growth. Our customers are increasingly willing to sign long-term partnership contracts with us in Ocean, also multiyear contracts. We are growing volumes much faster than the market in Logistics, in logistics, 4 to 5x the market growth in 2021 organically. And also, we have solid growth in Terminals. During the year, we have entered into strategic partnerships on international logistics with a number of global blue-chip companies, such as Unilever, Vestas, and Dow Chemical. And we see that as a testimony to our integrated strategy with Maersk delivering integrated services and solutions across the ocean, air, inland, contract logistics, and lead logistics solutions. Finally, in 2021, we have taken important step to scale up our carbon-neutral products and solutions. Customer demand continue to grow for carbon-neutral solutions. As more and more of our largest customers commit to carbon neutrality, we want to be there to support their journey in the coming decades. Turning now to Page 5. We continue to deliver strongly. We are well on track on executing on the key topics as part of the strategic transformation and on the road map for ‘21 to ‘25, which we introduced back in May last year at the Capital Markets Day. In Ocean, the share of long-haul business that was on long-term contracts increased to 65% in 2021, up 15 percentage points from 2020. And we increased the average rate by about $1,000 per FFE to $3,000. Looking at 2022, we forecast that the proportion of volumes and long-term contracts will increase again to now around 70%, equal to more than 7 million FFE. And we currently expect an annualized increase in average freight rates on the long-term contracts of around $800 per FFE versus 2021. All things equal, that adds around $6 billion to earnings in 2022. In Logistics & Services, the focus continues to be on profitable growth. Here I would like to underline that when we talk about growth in Logistics in Maersk, then it’s growth predominantly driven by increased volumes and activity, not price-driven growth. We sell more and more Logistics services when our Ocean customers book containers, and it also means that we report our price-driven growth in Ocean. Since the fourth quarter of 2019, we have grown the top line in Logistics at a compound annual growth rate of 9% quarter-on-quarter, not year-on-year, quarter-on-quarter, reaching a new quarterly record in the fourth quarter with $3 billion in revenue. That means that we now have a run rate in Logistics of about $12 billion before adding the 3 acquisitions that we yet have to close. As we are focusing on creating commercial synergies, I’m very satisfied to see that during the year, 62% of the organic growth in Logistics came from our largest 200 customers. It confirmed to me that the integrated strategy is working well and is gaining momentum. We have, during the year, announced several important acquisitions to expand the global capabilities to our customers, especially the intended acquisition of LF Logistics back in December will be transformational for us in Asia Pacific. And today, we announced the intended acquisition of Pilot logistics that will leverage the network we have in the U.S., adding full and last mile business-to-consumer and business-to-business capabilities. Let me also once more repeat our financial targets for Logistics & Services that we expect an organic revenue growth above 10% per year annually towards ‘25 and an EBIT margin of minimum 6% until 2025. Lastly, the strong momentum in Terminals have continued during the year. We have grown the top line in terminals with a CAGR of 4% quarter-on-quarter since the fourth quarter of 2019, and we now deliver a return on invested capital for the last 12 months of 10.9%. It’s more than 5 percentage points higher than in the third quarter of 2020, which means that we currently -- clearly exceeding our target of above 9% return on invested capital, and we are closing the gap to peers. On Slide 6, we have in the table summarized our performance across the key targets for our road map to 2025 that we announced at the Capital Markets Day last year. We have, across the targets, delivered strongly, created strong value creation for the last 12 months with an ROIC of 45%, well above the target of minimum 7.5% per year, which have, of course, affected positively by the exceptional market condition in Ocean, leading to an EBIT margin there of 37.2% compared to a normalized target of being above 6%. What is also important to highlight is that our strategy is creating commercial synergies between Ocean and Logistics, and it has been validated in 2021. As I already alluded to, our top 200 Ocean customers contribute well above 50% of the organic growth in revenue as customers are increasingly demanding end-to-end solutions to mitigate supply chain disruptions. We continue to see strong growth in momentum in Logistics & Services at an attractive EBIT margin above 6%. Finally, the financial performance enables us to intensify the investments in Logistics & Services and in decarbonizations while at the same time increase the shareholder return significantly above our initial commitments made at the Capital Markets Day with strong dividends and doubling our share buyback. After returning $3 billion in 2021, we expect in 2022 to return $9.6 billion in dividends and share buybacks, which equals around 50% -- 15% of our current market cap. Now let me turn to Page 7, focusing on ESG strategy of Maersk, which will be a key topic for us as it is an integrated part of the strategic transformation of the company. On the 10th of March, we will host an ESG Day to give more insights into the ESG strategy and the road map to net zero across all scopes by 2040. Without going into too many details today, I want to underline that we have set a very ambitious plan in our ESG strategy that goes hand-in-hand with our integrated strategy. And 3 key commitments are that we will take leadership in the decarbonization of Logistics as our customers are more than ever demanding climate-neutral solutions to help them reduce emissions in their supply chains. We will ensure that our people thrive at work by providing a safe and inspiring workplace. And we operate based on responsible business practices globally. We will, through our investments and the way we operate the business, accelerate the decarbonization agenda and the targets as we announced in January by targeting in 2040 to be net zero across all scopes with 100% green solutions and by 2030 to reduce emissions in line with the Science Based Target initiative’s 1.5-degree pathway and reduce emission intensity in Ocean by around 50%, and absolute emission reduction of around 70% in Terminals. As part of this road map, we have already in 2021 ordered 12 large container vessels capable of operating on green methanol. And back in November, we launched a Green Finance Framework with the first 10-year EUR500 million green bond as the first instrument. Today, we are disclosing and reporting a full set of ESG KPIs in the Annual Sustainability Report and in the ESG database. From both customers and financial markets, our ESG engagement is widely recognized. And I’m personally particularly proud that just a few weeks ago, we were picked by BNP Paribas Exane’s list -- for their list of top ESG stocks called ESG Super 8, citing our ambitious decarbonization agenda. On the next slide, we have the full-year guidance for 2022. We don’t, frankly, have a lot of experience coming out of a pandemic, which is a challenge when we have to provide guidance. And for that reason, we have decided to be more specific on the assumptions for the -- behind the guidance than we would normally be. So our guidance for the full-year 2022 is based on the assumption that we will have a strong first half, starting with the first quarter on par with the fourth quarter last year and that a normalization in Ocean will occur early in the second half of the year as labor returns to work, bottlenecks open up, capacity held up in port congestion is freed up, and new capacity delivered. Based on these assumptions, we see an underlying EBITDA of around $24 billion and underlying EBIT of around $19 billion and free cash flow of above $15 billion. In other words, a result very much in line with 2021. On the demand situation, in Ocean, we expect that we will grow in line with the global market demand of around somewhere between 2% and 4% in 2022. But also, of course, here the outlook is uncertain. On CapEx guidance, the expectation for 2022 to ‘23, accumulated CapEx of $9 billion to $10 billion, driven by intensified growth in Logistics & Services and ESG investments and CapEx guidance for 2021 to 2022 remains unchanged at $7 billion. Then let me end by briefly outlining what’s on our agenda for ‘22 before I hand over to Vincent. We will continue to build -- work on creating a high and stable earnings in Ocean from long-term contracts, and by that, create a more stable, predictable, and value-creating business than we have had in the past. At the same time, focus, of course, is very much on restoring service quality and reliability during 2022. In Logistics, we will focus on continuing to deliver high and profitable organic revenue growth with an EBIT margin above 6%, but also to integrate the acquired companies, which will be a top priority this year, so that we can deliver on the business cases and generate the synergies. For Terminals, it’s about continuing to deliver as we do, continuing to deliver results from a combination of high utilization, investments in automation, and rolling out best practice across the terminals to create and continue to have stable and attractive returns as we have now. For the group, I have touched on some of the key topics for the year, but we will be accelerating the digital transformation and procurement of green fuels as 2 of the top priorities in the coming years. And with that, let me hand over to Vincent, who will give some insights on the acquisition that we have announced today. Thank you.
Vincent Clerc: Thank you, Soren. And let’s flip right away to Slide 10. As you would have seen today, we have announced the intention to acquire the U.S.-based Pilot Freight Services, which is a really significant step towards completing the end-to-end network solutions that we’ve been pursuing. The intended acquisition of Pilot complements the acquisition of visible supply chain management, which we announced early in August of last year, as it supports the B2C channels for e-commerce and the acquisition also commercially and strategically fits well for Performance Team’s network of 58 warehouses and distribution centers. Besides adding to our capabilities within full mile and last mile solutions to both B2B and B2C in the Transported by Maersk segment, this transaction also creates scale effects and operational leverage to cost synergies to our Fulfilled by Maersk activities. On the next slides we have shortly summarized the background of the acquisition. Pilot is a U.S.-based company that was founded in 1970 and family owned until 2016 where ATL and BCI acquired the company and the franchise network. Today the company provides B2B 3PL management transportation for high-service goods in the second largest -- and is the second largest provider of B2C home delivery of heavy and bulky goods in the U.S. Through its fulfillment mile and last-mile only solution, the last category benefiting from growth of e-commerce. Pierre is a strong brand -- Pilot is a strong recognized brand in the U.S. amongst blue-chip customer with a globally industry-leading platform supported by significant technology investments. At present, the company controls 87 facilities across North America, as you can see from the map to the right, which are connected by the internal asset-light expedited network and the company has around 2,500 employees. The combined Pilot and Maersk scale will offer customers over 150 facilities in the U.S., including distribution centers, hubs, and freight stations. On Slide 12, we have summarized some of the key data from the transaction. The transaction value is of $1.68 billion under U.S. GAAP. Looking at the numbers post IFRS-16, they will appear in our financials at the enterprise value debt free of $1.8 billion, all-cash deal based on the profitability estimate for 2021. This corresponds to an EV/EBITDA of 13.8x and an EV/EBIT of 27.7x, pre-synergies. For the full year 2021, the revenue is estimated to being around $1.5 billion and will -- and with post IFRS-16, EBITDA of just around $130 million and EBIT around $65 million, which implies an EBITDA margins of around 9% and an EBIT margin of around 4%. As mentioned earlier, this transaction now only includes high -- not only includes high commercial synergies from cross-selling the services to our existing customers, but also, and for the first time, we expect significant operational cost synergies related to the existing activities in the U.S., which in total is expected to have a yearly run rate of around $100 million, which will be completed by some tax synergies -- complemented by some tax synergies. The level of operational synergies is also reflected in the level of transaction and integration costs, which in total are expected to be around $110 million. The transaction is subject to regulatory approval and closing is expected Q2 2022. And by that, I hand over the word to Patrick that will take us through the financials of the quarter.
Patrick Jany: Thank you, Vincent. And from my side, welcome to this conference call as well. So turning to the financial highlights of the fourth quarter and the full year on Slide 14. It is clear that the quarter, once again, was strongly positively affected by the exceptional market conditions in Ocean, but also again a quarter with strong revenue growth in Logistics & Services and further improvement in the returns of Terminals. For the quarter, the revenue increased by 64% to $18.5 billion, mainly related to Ocean, which also led to an increase in EBITDA to $8 billion, reflecting a margin of 43.2%. The free cash flow generation in the quarter was very strong despite higher CapEx and came in at $5.6 billion, driven by the higher earnings but also a positive contribution from working capital. Turning to the full year. As already preannounced in January, the underlying EBITDA was $24 billion and underlying EBIT was $19.8 billion, while the net profit reached $18 billion compared to $2.9 billion in 2020. As a reflection of the strong results and having a net cash position of $1.5 billion by the end of the year, the Board of Directors proposes for the financial year 2021 an ordinary dividend of DKK2,500 per share to be compared with DKK330 last year, which is equivalent to a payout ratio of 40% of the underlying net result. Including the already committed share buyback of $2.5 billion for 2022, we expect with the proposed dividend to return $9.6 billion to shareholders, equivalent to around 15% of the current market cap which comes in addition to the $3 billion distributed in 2021 in share buyback and dividends. This underlines our strong commitment to provide significant returns to shareholders. Now turning to Slide 15. Our cash flow from operations remained exceptionally strong during the quarter and the full year of 2021, leading to a free cash flow for the full year of $16.5 billion after CapEx of $3 billion, of which $1.6 billion was in Q4 driven in the last quarter by prepayments on climate-neutral vessels and also $2.7 billion in capital lease installments in the year with $586 million in Q4. On the graph, you see on the net cash flow from financial investments that we had a significant movement into short-term deposits to place our cash in deposits above 3 months. The net interest-bearing debt during the year decreased by $10.8 billion to a net cash position of $1.5 billion after dividends, share buybacks, and $2 billion in debt repayments. Now let us turn to the development in each of our segments, starting with Ocean on Slide 16. As highlighted earlier, this quarter, our Ocean business, again, was impacted by the continuation of the exceptional market conditions, which continue to put pressure on global supply chains. The congestion and network disruptions implied higher freight rates and an increase in costs, while volume and capacity utilization were restricted. Revenue in Ocean grew 77%, supported by an average freight rate increase of 83% and partially offset by a volume decrease, even though we saw stabilization in volumes sequentially. EBITDA improved to $7.3 billion, with a new record high margin of 50.3%, with higher rates being partially offset by a 21% increase in operational costs, mainly driven by higher bunker prices. EBIT increased by $5 billion to $6.3 billion, reflecting an EBIT margin of 43.5%. On Slide 17, we have illustrated the improvements in EBITDA in the quarter and compared to Q4 2020. And again, like in the previous quarter, the higher profitability is driven by higher freight rates up to $6 billion, both out of spot rates and particularly long-term contract rates improvements. As you can also see, besides the negative effect of lower volumes, the overall cost base increased with a negative effect from bunker prices of $657 million, an increase in handling costs of $189 million, and higher network costs, including charters, of $130 million. Turning to Slide 18. Our average freight rate increased by 83% in total, which corresponds to an increase of 68% when adjusted for higher bunker price, and it reached a level above $4,000 per FFE. The improvements came mainly from the long-haul trades and with Pacific still as the main driver. Like in the previous quarter, the positive development came from the upselling of volumes to existing long-term contracts, the effect of early renegotiation of long-term contracts, and the implementation of higher bunker adjustment clauses due to the increase in bunker price. While the persistent congestion contributed to higher freight rates, it also had a negative effect on the loaded volumes, leading to a volume decrease of 4% year-on-year, especially with backhaul volumes down 12% due to reallocation of MT containers. Compared to the Q4 of 2019 and Q3 2021, we have seen a stabilization in volumes despite expanding the capacity to 4.3 million TEUs due to lower utilization as a result of the congestion. Moving to Page 19. As you can see from the illustration, we continue to focus on building long-term relationships with our customers, both in terms of commitments for capacity but also flexibility to alleviate volatility in customers’ supply chain. For 2021, the total volumes of long-term contracts increased to 65% of the total long-haul volumes, meaning both East-West, North-South and head and backhaul. For the quarter, the volumes on the long-term contracts on long-haul trades increased by 23% to around 1.7 million FFEs and represented 68% of the total volumes. Looking into 2022, we estimate that around 70%, or more than 7 million FFEs, will be on long-term contract, including the currently multiyear contracts of around 1.5 million FFEs. And as mentioned by Soren earlier, the average rate increase on the long-term contracts for 2022 is expected to be around $800 per FFE. As we have illustrated on Page 20, the current exceptional market conditions are not only a matter of higher container freight rates, but we also recognize a significant inflationary pressure on operating costs, and in this quarter also in higher bunker prices. As a consequence, the total operating costs increased by $1.3 billion to $7.3 billion, which in combination with lower volumes led to an increase in unit cost at fixed bunker price of 13% and compared to Q3 2021 is a sequential increase of 4.9%. Comparing sequentially, it is important to highlight that Q4 2021 also includes higher cost due to bonus payments. Total bunker costs increased 71%, driven by a 72% increase in bunker price to $557 per ton. But we also saw a decrease in bunker consumption of 1%, partly due to lower utilized capacity. Looking ahead, the operational costs are expected to continue at the current level as long as market conditions persist during 2022. And some cost items, especially terminal and chartering costs, will remain high into 2023, contributing to a higher unit cost on a fixed bunker price. Now let’s turn our attention to Logistics & Services, where again in Q4 we continued to develop new integrated solutions to meet our customers’ logistics needs for end-to-end solutions, which is a key driver for the 46% increase in revenue to $3 billion. It is actually the first time we report $3 billion in their quarterly revenue for Logistics & Services. As you will see later, both managed and Fulfilled by Maersk reported 60% growth in Q4, confirming the strong demand for integrated solutions and services. The organic growth of 38% in Q4 and 58% of that growth came from our top 200 Ocean customers, well above our target of 50%. While we are satisfied with the revenue growth in the quarter, the EBIT margin of 4.5% seen in the quarter came in lower than last quarter but in line with last year as higher one-off costs due to bonus payments and M&A transactions, combined with a revenue mix effect, pulled down the margin. Adjusted for the one-offs, the EBIT margin was 6.2%, in line with the yearly figure of 6.3% and above our target of a minimum 6% margin. Slide 22 shows the continued progress in terms of growth in earnings with inorganic impact on revenue in Q4 was only $163 million or 8 percentage points in terms of revenue growth, which related to the acquisition of visible supply chain management in the U.S. and B2C in Europe. Gross profit increased by 44% to $719 million and reflected a margin of 24%, in line with last year. EBITA increased to $155 million, corresponding to a margin of 5.1% and was impacted negatively by $26 million in M&A costs, mainly for LF Logistics and the Senator acquisition and $23 million in extraordinary bonus payments. EBIT conversion in the quarter was 19.1%, impacted by this higher cost while last 12-month conversion ratio was just below 26%. Looking now at the development in the 3 product families on Slide 23. We see a highlighted -- as we highlighted earlier, a very strong growth in the integrated products and services, which are called Managed and Fulfilled Maersk, which reflects strong customer wins. In Managed by Maersk, revenue reported a growth of 60% to $480 million, driven by an increase in volumes in lead logistics of 27%, reflecting the strong underlying business demand as well as anticipated orders in preparation to Chinese New Year. The EBITA margin was very strong at 11%, up 4 percentage points. For Fulfilled by Maersk, revenue also grew by 60% to $777 million, driven by the establishment of 24 new warehouses in the quarter and productivity improvements in existing facilities. Visible and B2C Europe contributed to the strong growth from e-commerce activities. EBITA margin was 1%, down from 4% due to already mentioned reasons. Finally, revenue in Transported by Maersk was up 38% to almost $1.76 billion, driven by an increase in landside transportation volumes but also in rail and air freight forwarding volumes. EBITA margin was 6%, slightly up from last year. On Page 24, we turn to Terminals & Towage. As this is the last quarter where we’ll report these activities combined, as from first quarter of 2022, Terminals will be reported separately, and Towage will join Manufacturing & Others in a new segment called Towage and Maritime Services. Turning back to the numbers. The Terminals & Towage segment continued the past quarter’s strong momentum with strong revenue growth and a 21% increase in EBITDA to $439 million, mainly driven by Terminals. Terminals reported a 25% higher revenue of $1.1 billion and EBITDA increased as well by 21.5% to $384 million, reflecting a margin of 35.2%. Margin in the last quarter was slightly lower compared to last year due to higher volume in high-cost location and additional costs related to the congestion. Full-year EBITDA was up 47% to $1.455 billion. In Towage, the revenue increased by 8.5% to $190 million, driven by both Harbour and Terminal towage and EBITDA increased to $55 million, equivalent to a margin of 28.9%. For the full year, the EBITDA increased by 2% to $220 million. Turning to Slide 25, which have again in this quarter [bridged] the EBITDA increase in gateway terminals from $316 million last year to $384 million in Q4 this year, showing the effects of volumes, revenue, and costs. Volumes increased well above market at 3.5% overall. On a like-for-like basis, the volumes were up 4%, overall, mainly driven by North America and Asia. Utilization was sequentially unchanged at 78%. Revenue per move increased 21% to $336 million, driven mainly by higher storage income due to higher rates, continued congestions in North America, and sale of yard services in Latin America. The cost per move also increased significantly, up 18% to $259, driven as highlighted by higher volumes in high-cost locations, higher variable concession fees, and additional costs related to the congestion. ROIC for the last 12 months was 10.9%, hence up 3.6 percentage points above previous year and well above the mid-term targets of 9%. On the commercial front, APM Terminals during the quarter announced a letter of intent to become the operator of a newly-planned container terminal and intermodal rail facility in New Orleans in the United States. On Slide 26, a summary of the main activities in Manufacturing & Others is shown. Maersk Container Industry, due to a higher reefer unit price, increased its revenue to $178 million, while EBITDA decreased by $4 million to $14 million. Regarding the sales agreement that was signed in Q3 2021, it is still subject to regulatory approvals, and we expect to close the divestment before end of 2022. Maersk Supply Service reported a revenue growth of $27 million, up to $88 million, related to higher activity and improved rates. Also, EBITDA increased to $9 million, while EBIT was negatively affected by an impairment of $298 million due to a revised market outlook and the alignment of the fleet compatibility towards the green transition. And by that, I will hand over to the operator for our Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of Muneeba Kayani of Bank of America.
Muneeba Kayani: Maybe I could start with a question around near-term spot rates and what is your expectation for the usual seasonal dip after Chinese New Year? And have you seen a slowdown in demand recently? And then secondly, if you can talk about CapEx guidance of $5 billion to $6 billion in ‘23. Is this increase from mainly related to the methanol fuel vessels, or is there anything else in there? And then just you’ve talked about how much the long-term contracts of $800 million increase on average this year. Can you give some color on how you see that across Asia, Europe, and Transpacific?
Soren Skou: Yes, Muneeba, let me start on the near-term spot rates. As you probably can see in the indexes, they have stabilized at a very high level, and we don’t have any line of sight to that situation changing. It corresponds to our guidance that we expect a very strong first quarter and for that matter also second quarter. But, of course, we cannot look all the way to the end of the second quarter in our bookings. So we expect to stay at the current level. In terms of the contract portfolio and the average rates, it’s, of course, a mix of a head-haul and back-haul and also many different rates. So I think it will be -- I don’t think we can disclose any more level of detail on that than the average numbers. And then I’ll give the word to Patrick for the CapEx.
Patrick Jany: Yes. So in terms of CapEx, indeed, we have increased our CapEx guidance for 2022 to 2023 slightly, which really reflects, I would say, the increase in CapEx on the green element. So as you highlighted, our green methanol vessels, which are coming in, so there is some final payment was already due in 2023. Also, some vessels only come in ‘24. So that is an increase there. But mainly, I would say, it’s also an increase in some retrofits also which is taking place. And, generally speaking, higher investment as we mentioned as well in Logistics, which is increasing the pace. As you might remember, in our Capital Markets Day, we had a guidance of $1 billion over 2 years. I think looking forward, we’re heading towards areas of $1.5 billion for 2 years and also automation in terminals, which is an element to further improve productivity and returns in terminals is also picking up. So that’s the main elements to give you a little bit of flavor on our CapEx for the years to come.
Muneeba Kayani: If I could follow up, Soren, on the contracts then. What we’ve heard in -- for the market is that Asia, Europe is being set 2 to 3x above last year’s and Transpacific early negotiations are again of something like doubling. Is that kind of what you’ve seen in your own contracts as well?
Soren Skou: Sure. Yes, it is. And that’s why we are seeing the average portfolio of more than 7 million FFE go up with $800.
Operator: Our next question comes from the line of Lars Heindorff of Nordea.
Lars Heindorff: Also, from my side a question regarding demand. I’m curious to find out if you see any changes in demand. And what I’m particularly interested in if they can see any sort of movements away from the durable goods that has been in high demand now for quite a while and back to services ranging in the pattern from your customers that you can detect there, if you could maybe give us a sense about how things will develop as we head into the second half of this year. That’s the first part.
Soren Skou: We are not yet seeing any changes to the demand picture. It’s very strong. And that’s why we’re guiding for a 2% to 4% total demand growth this year.
Lars Heindorff: Okay. And then secondly, on the rate levels, you’ve been so kind that you gave us a little bit of the building blocks to give us -- make a forecast for the rate levels for ‘22 by providing the $800 difference on the contracted part of your volumes. But maybe you could be so kind also to give a starting point. From which level are those $800 growing. That will be the second part.
Patrick Jany: Yes, it’s Patrick here. So I think we have been pretty clear in the communication that we saw this year, $1,000 increase from $2,000 to $3,000 on the long term. So, obviously, adding $800 brings you to $3,800 as an average rate for 2022. And that is the level where we see the biggest volumes or 70% of our volumes for 2022. So our guidance clearly implies as you have seen, there are then significant reduction in short-term as soon as normalization happens. And our assumption, it happens early in the second half of 2022.
Lars Heindorff: And the 7% share that you mentioned about on contracts, is that -- just to understand it clearly, that’s all in, both including, I would say, short or longer-term contracts, including multiyear contracts? Is that also roughly the same level which has been settled for this year, i.e., for ‘22?
Patrick Jany: Yes, it includes all the long definitions, right? So long-term contracts being as well, the multiyear contracts, indeed.
Operator: Our next question comes from the line of Parash Jain of HSBC.
Parash Jain: I have 3 quick questions, if I may. First of all, would it be possible to share any color on when you talk about demand expectation on the headhaul versus backhaul. As you pointed out, right, the backhaul was pretty weak last year. But when we -- do we see a mean reversal this year? And is your 2% to 4% guidance means that backhaul might be stronger than headhaul? My second question is on depreciation and amortization, it seems that charter rates will continue to roll over higher. And when I look at your fourth quarter run rate of $1.6 billion, I’m just wondering in your 2022 guidance, the $5 billion gap between EBITDA and EBIT, am I missing something? Or we expect the charter rates to roll over as well in the second half of 2022 as the spot rate normalizes? And then lastly, if you can share your view on the capital structure that you want to continue. You already have a net cash balance sheet, another $15 billion on its way. Do we see you start to increase the ownership of your vessels keeping $4.3 billion constant, or do we see an opportunity of probably a higher return of capital in 2022 onwards?
Vincent Clerc: Let me start by addressing -- Vincent here. Let me start by addressing your first questions on the headhaul and backhaul. So as you rightfully mentioned, during this year, we saw some of the backhaul out of Europe and North America into Asia especially being fairly weak. That is actually something that we expect to continue to see happen for most of 2022. So the 2% to 4% that Soren mentioned as an expectation is an average of continued fairly strong headhauls, especially out of Asia and South Asia, and a weaker demand for some of the backhaul, especially out of Europe and North America. I think for the other questions, I’ll leave it to Patrick.
Patrick Jany: Yes. So, first to your question on depreciation and amortization. It’s absolutely right, as you well have noted that over time, as we have higher CapEx and we also have, obviously, the increase in time charter rates, which we have been commenting on for the last few quarters, you see an increase of this line of depreciation and amortization. Probably, let’s say in rough terms, going from a $4.5 billion, $5 billion yearly level to a $6 billion level, right, looking at next year. So that is clearly something that has to be looked at, and that’s based really in our numbers. And then you always have a few other positions here and there, some divestments of smaller vessels and so on, which comes and which limits the deviation to $5 billion, all right. Now looking at the capital structure. I think it is a very strong commitment we are giving today in terms of high shareholder returns. We will be basically next few months returning $9.6 billion to shareholders, which is a significant amount. We also have committed to another $7.5 billion of share buybacks, looking at the 3 years ahead. So it’s a tremendous return in terms of cash. So from that point of view, we feel that we are in a good position to actually do everything at the same time. Have an extremely high return to shareholders. If you look at it, it’s 15% of the market cap just this year and quite a big percentage coming up just in months from now. And then we are investing in organic growth, which is the best way to improve ROIC. We believe our strategy is well accepted by customers. It’s being validated by the growth that we have and the profits we see coming through. So the best thing we can do is keep on investing in that model. And then we’ll have a bit of money left as well for some M&A as you see as well today.
Parash Jain: That’s very helpful. And maybe just on that point. Is it a better use of your capital given current charter rates to remain elevated to increase the ownership of your vessels from current level?
Soren Skou: I think reality is that there are a few opportunities for doing so, but it could certainly be -- if we find the right opportunities Provide the right opportunities, yes, then it will make sense.
Parash Jain: Okay. But you’re not keen in tapping into the secondhand market, which has already gone crazy anyway?
Soren Skou: I didn’t quite hear that, sorry.
Parash Jain: I mean to say that, are there opportunities in the secondhand market to increase the ownership?
Soren Skou: Yes. Well, that’s what I meant when I said there are very few opportunities, but we look at those. We’re still clearly guiding that we want to be at 4.3 million TEU [max]. And of course, we will have to replace ships over the next 5 years. And if the right opportunity for acquiring secondhand ships presents itself, we can also do that, but it’s not like there are many great opportunities at this current time.
Parash Jain: Fair enough. That’s very, very clear.
Operator: Our next question comes from the line of Michael Rasmussen of Danske Bank.
Michael Rasmussen: Yes. Could we discuss a little bit more the CapEx program that you set out? So first of all, how many retrofits exactly is included in the 2023 guidance implicit in this $5 billion to $6 billion. And also secondly, going forward and in terms of when you will reach your 2020 -- sorry, 2040 ambitions, just what are your thinking’s here in terms of retrofits versus newbuilds? So if you could just add a little bit of comments on that, so we can realign also the CapEx spend after 2023. So that’s my first question. My second question is just on the Q1 EBITDA guidance that you gave. I actually had expected it to be so much stronger than Q4. We’ve got a pretty good spot volumes. We’ve got obviously the higher contracts coming through in the numbers, a higher share in Q1, and we’ve got a quite good momentum in the other business areas. So can you just run through the business blocks -- sorry, the blocks -- the building blocks in terms of why Q1 wouldn’t be better than Q4? And my final question is, if you could just add some flavor on the way you do business with the freight forwarders after your new rules here 1st of January? What share of the business is it now? And is your profitability improving towards this customer group?
Soren Skou: Okay. Let me start. I think you will -- we will all contribute here. Let me start on the decarb journey towards 2040. I think we don’t have all of the answers to your questions at this point. We expect that as far as new ships are concerned that we will be paying around 10% to 12% more for now in order to get the dual fuel capability that we need to burn the green fuels in the future. In terms of retrofit, we still -- we don’t know yet. We expect that by 2024, ‘25, the engine manufacturers will have developed the technical concepts for how to retrofit existing combustion engines to run on, for instance, green methanol. And at that point, we will know I’m sure what the cost will be. Obviously, for decarbonization of the shipping sector, it’s a huge advantage that it looks like we will be able to retrofit existing ships so that we do not have to build more than 700 new ships to decarbonate the Maersk fleet in the next 20 years. But we don’t know the numbers as of yet. And then I will turn over to Vincent, who will talk a little bit about the freight forwarder business and then Patrick will take the CapEx and Q1 questions in the end. Vincent.
Vincent Clerc: Yes. So as we keep our fleet constant at 4.3 million TEUs and we increased the allocation that we’re giving to our long-term customers, then it means by default that we are reducing the footprint that we have with freight forwarders to what will be in 2022, somewhere between 25% and 30% of what we’re doing. And the relationship -- the profitability levels is obviously very high at the moment because they are principally the ones paying the short time -- the short-term spot market rates today. But I think for us, as Patrick has mentioned, we’re investing in long term -- in building a long-term, more sustainable, more resilient, and more stable business. And therefore, we’ve made the decision to forfeit some of the spot opportunities to really invest into the long-term relationships that truly integrated logistics present for us.
Patrick Jany: Yes. So coming back a bit on the CapEx topic. I think we won’t be very granular on our guidance, I think, for ‘23. We see that, indeed, we’ll have a rhythm of increased CapEx around $5 billion and a little bit more, which is why we guide on the range for ‘22 and ‘23. But when you look at it really...
Michael Rasmussen: Just to stand...
Patrick Jany: If you just let me finish...
Michael Rasmussen: Yes, sorry. Go ahead.
Patrick Jany: So you’ll have some vessel expenses, which as we say, we absolutely maintain our CapEx. It’s a matter of -- at one point in time, you have -- in any given year, you have some prepayments for the new orders and you have some down payments and final payments for the one you get delivered, right? So as we will have a regular fleet replacement, it is a cost which will be there for quite a while. But more importantly, I think the delta comes from investment in the hubs, in containers and increase in terminal automation as well. So it’s an area of investments to improve efficiency and returns, which we are doing there. So not to be misinterpreted in a big increase in fleet. It is just normal CapEx. Then when we look at the Q1, I think we’ll take Q1 as it comes. I think we have a guidance on 2 strong quarters. And therefore, that’s, I think, what you need to look at. We won’t guide on specific quarter now. Q1, as we said, will be strong, Q2 as well, and then we’ll see to which extent normalization happens in the second half of the year.
Operator: Our next question comes from the line of Carolina Dores of Morgan Stanley.
Carolina Dores: I have 2 questions as well. On the contracted rates that you are fixing for beyond 2022, just wanted to understand the structure of the contract. So is the price fixed? Is it indexed to something just [indiscernible] understand what is the visibility that you have on this contract freight rates? My second question, still on guidance is on the $6 billion revenue increase coming from the contracted rates in 2022, it’s a wash on -- because you’re guiding for the same EBITDA. So I wanted to understand the breakdown on Ocean on how much the $6 billion is deducted from the loss of revenues on spot and how much of that $6 billion is actually higher costs that would be very helpful. And third, in 2022 on Logistics, how much of the EBITDA of the business is actually grow from the inorganic business that you already have and you’re adding into 2022? And I assume that doesn’t include the new acquisition that you announced today.
Soren Skou: Okay. Let’s just start. So we expect a little more than 7 million FFE of long-term contracts. Out of that around 1.5 million to 1.7 million FFEs will be multi-year contracts. And I’ll ask Vincent just to give a little more color on the contract structures.
Vincent Clerc: Yes. On the contract structure, you have different types of agreements. Some of them are flat for the next 2 years. So we already know what it’s going to be for the next 2 years. The majority is longer, has a duration of between 5 and 10 years, and -- or 3 to 10 years, I should say. And then they will have an adjustments based on basically market development, mostly based -- index on the CTS index. And so they will have a lag with the market and a smaller level of adjustment compared to what you see on some of the indexes, such as the SCFI and things like that.
Soren Skou: And just to add one more comment to that. This will markedly make our earnings more stable because we, of course, also have contracting seasons that continues all the way into the first half of this year until May, which will be contracts that then spill over -- the 1-year contracts spill over well into 2022 as well. That’s also a factor for that. So, Patrick?
Patrick Jany: Yes, certainly. So coming back on your question on the breakdown of, obviously, the offsetting factors of the increased earnings of the $800 per long-term FFEs that we indicated. And as Soren was saying earlier on, it implies an increase of revenue of $6 billion to $7 billion, right, for next year. Now, I would say, you have 3 factors here to consider when you try to grab the difference. One is, obviously, as you have more long-term rates and volumes in 2022, you have less short-term, right? So that means that actually you are reducing the level of earnings because on the short-term, we currently earn much more than on the long-term, right? So that’s a direct offsetting revenue impact, which you have to take out. The second one is that we expect short-term rates to drop, right? So from the portion of the 30%, which is short-term, we’ll actually earn less than in 2021. So that’s a second offsetting factor. And the third one is the one you mentioned, which is the increasing cost, right? So what we are guiding for is that the accumulation of those 3 effects, 2 of them technical and one is increasing cost, is actually more or less flat, right? So then it’s a debate on how do you think the short-term will come down and then how much inflation will [indiscernible] on cost. Our view is probably that you have roughly 1/3, 1/3, 1/3 distribution of that offsetting factor. And then we’ll see how reality plays out in 2022. All right? Now looking at the L&S for 2022, we don’t really guide for it specifically. But I would say, as we highlighted, we have a $3 billion quarter now in Q4. So the run rate is actually, as Soren was saying, touching the $12 billion. We are committed to a 6% EBIT as a minimum. So I expect this to be above the 6%, and that gives you pretty much a good view on 2022. And then you can add the announced acquisitions that we have already to come through. So it is Senator pretty much, I guess, in Q2, LF Logistics towards the second half of the year, and the Pilot we announced today as well in Q2 as well, which is overall probably a [$2 billion] impact.
Operator: Our next question comes from the line of Cristian Nedelcu of UBS.
Cristian Nedelcu: Three of them, if I may. First of all, I realize it’s still early on, but you have this EEXI and CI regulation coming into force next year. And you mentioned earlier more retrofit. So do you have a view -- do you think this will take meaningful capacity out of the overall markets, so more retrofits or slow steaming? Secondly, looking a bit at integrating several acquisitions in the same time, can you talk a little bit about the measures you’re taking there? I guess, complexity is quite high in terms of integrating several businesses. What gives you confidence in a smooth journey there? And lastly, coming back to firepower in terms of the balance sheet, how much debt would you be willing to take to finance -- to further finance vertical integration from here? At the Capital Markets Day, you gave us a net debt-to-EBITDA range of 1.5 to 3x for your current credit rating. You also gave us some minimum margins across divisions, so we could calculate there. But could you give us a bit of a feel how much would you be willing to increase the net debt to EBITDA from here on, normalized EBITDA levels?
Soren Skou: Yes. So quite quickly on the 2 first ones. I think the -- in terms of the energy efficiency regulations and retrofit and so on, we don’t think that, that will have a dramatic impact on how much capacity is available. We assume that like most people will do these things while they are docking the ships anyway as part of the 5-year docking cycles that we have. On acquisition, I’ll just say that, yes, we have 3 big ones to integrate. But one of the -- it’s different products and different geographies. So Senator is -- it’s a air company -- a product company and, of course, based in Germany. LF is an Asian operation with 230 warehouses. And Pilot, of course, very much in the U.S. So it’s not the same management team, so to speak, around the world that has to do all 3. I don’t know if you have anything to add, Vincent, at this point.
Vincent Clerc: No, I think that’s exactly it. It’s hitting different parts of the organization. And the other thing is since they are partly in adjacencies, it’s actually relatively easy to integrate for us.
Patrick Jany: And coming back to your question on capital structure. I think what we have guided for a balance sheet structure, it is obviously for post-normalization world, right? So I would not -- as we highlighted in one of the previous quarters, it would be ill time to talk about capital structure now when we have record earnings, and we are guiding for normalization in the second half of the year. So you really have to place yourself in 2024 horizon and that’s where we want to have a very strong balance sheet. So clearly, now we do have a significant cash position, but we also have committed to strong capital returns. I was mentioning that earlier on. I think you’ll have your own view on profits of 2022. But if you look at ‘22 payments, we guide on $9.6 billion returns, there will be a significant profit in ‘22 as well, which will generate a further dividend. We have committed for in total $10 billion share buyback. So if you start to sum all this up, it’s actually quite a significant cash out for the next 2, 3 years. So that is more the horizon where you have to place the balance sheet in. And clearly, we have significant means for organic investments, which, again, is the best thing we can do and then some specific acquisitions when they complement our setup. But that’s the way to look at it.
Operator: Our next question comes from the line of Robert Joynson of Exane BNP Paribas. Please go ahead.
Robert Joynson: Three questions for me, please. If we start with the guidance, you’ve talked about normalization early in the second half of the year. If I just piece together a few of the things that you’ve said today in terms of the contract rates, including I think rising by $800 at 70% of the volumes. We know that spot rates have had a good start to the year, certainly well above the same period of last year. So could you maybe just provide some color on what normalization means exactly? Because I’m kind of doing the mental arithmetic, I’m kind of assuming that almost implies spot rates go back to literally the pre-COVID level. Maybe some color on that. Secondly, on Terminals, can you maybe just provide some color on to what extent you feel your ownership of container terminals is providing a competitive advantage at present in a world where terminal capacity is increasingly in short supply? And then the third question on acquisitions. You’ve said previously that the largest acquisition you would consider is in the low-billions of dollars. And obviously, now you’ve done a couple of deals or announced a couple of deals at around that type of size. So with that box ticked, so to speak, could you now be interested in larger acquisitions? Or does the low-billions of dollars rule of thumb still apply?
Soren Skou: Yes. Thanks, Rob. Soren here. So it’s -- I’m always quite careful not to guide too much on the guidance. It gets a little bit complicated in the end. And I think you can easily do the math yourself if you figure out that we expect 2 very strong quarters in the first half and we have the guidance on the contract portfolio what the spot rates have to fall to. As I said in my initial remarks, the reality is we don’t have any experience coming out of pandemic. So -- and everything we can see right now looks very strong. So -- but we also have to assume that, at some point, people come back to work, that bottlenecks debottleneck, and things start to return to normal. And that will release capacity into the market, both the 88 ships that are sitting outside L.A. right now, but also the capacity that is getting delivered getting delivered throughout this year. So that’s really -- in order to make sense of this, we have been very specific about these assumptions that I’ve just talked about. And then I think you -- I’m sure you will make your own estimate, as you always do anyway. And then on acquisitions, I would like to ask Vincent to just give a little bit of color on how we are thinking about acquisitions, and then we’ll get back to the Terminal question.
Vincent Clerc: Yes. I think what is really important, if we go back to our Capital Markets Day is what guides our strategy with respect to mergers and acquisition is not the funds that we have available, but really the approach that I presented then, which is we’re looking for facilitator companies that can give us the capabilities that we need to create a very different value proposition to our customers than what is otherwise available in the market today. If you look at the very, very large potential ticket items in Logistics, they are typically not facilitator because they are usually a full suite of different products and, therefore, would not necessarily fit -- would not necessarily fit the bill that we have. So we continue to move our agenda on that front focusing solely on facilitator approaches.
Soren Skou: Yes. And then on the terminals, as you know, we think about terminals in 2 dimensions, one are the hub terminals that really constitute the important nodes of the network there. We clearly believe that it’s a strong advantage for us to control the hub terminals so that we ensure we have enough capacity, productivity, so the hubs can use -- help us increase reliability of the network as opposed to the opposite. In the gateway terminals, things have changed a lot in recent years as utilization has come up. We are now in terminals, well into the 70s in terms of utilization. And that clearly, in our view, means that it’s -- not only are there strong synergies from ocean to terminals in terms of volumes that make sure we have a good return on the investments we have made but also in the other direction we believe it has been in many locations an advantage to have own terminal capacity, not least in Los Angeles and in New York, but also a number of other areas around the world has been helpful to have the gateway capacity, if you will, inside.
Robert Joynson: All very clear.
Operator: Our last question comes from the line of Sam Bland of JP Morgan.
Sam Bland: I’ve got 2, please. The first one is on the increase in the contracted rates. It’s $1,000 last year, $800 now. I guess the environment is a lot more extreme now than it was then. So why is the increase in the contracted rate a bit lower? I guess another way of asking the question is, is the $800 million now quite fixed, or could you end up doing a little bit better? And then next question is quite similar to one of the previous ones, which is if we talk about normalization in the second half of the year, I think one of your peers is out this morning talking about a gradual normalization in the second half of the year. Do you think gradual is the right word? Or could it -- is it possible that the normalization will be quite sharp whenever it arrives?
Soren Skou: Yes, Sam. So on contract rates, I think what we have to understand here is that the normal seasonality of contract renewals is out the window and has been out the window for the last 18 months. We used to have some relatively fixed dates around the calendar year and around 1st of May for the Pacific season. And lots of things have been renegotiated early or last, or Patrick referred to in his presentation about upselling on long-term contracts. That’s basically where customers are coming and saying, look, we need more capacity. We already have this contract. And then we end up doing a new contract, if you will, out of the normal cycle at more volumes and higher quantities. So I think you have to see the $1,000 and the $800, if you will, as one movement from the original level of around $2,000 back in 2019 and ‘20. I don’t think we have much more to add on gradual, whether it’s a gradual normalization or it’s a sharp normalization. We don’t know. And obviously, how capacity gets freed up and so on will probably determine that. The issues we have in the U.S., in particular, are pretty set. It seems unlikely that this is something that will resolve overnight, and that’s why we are guiding for a strong first quarter -- first quarter and first half, and then we’ll see what happens.
Sam Bland: Understood.
Operator: This was our last question. I’ll now hand back to our speakers for closing comments.
Soren Skou: Yes. Thank you so much for listening in today. I would like to leave you with just a very few remarks. Of course, full-year 2021 result was a record on all dimensions, driven both by the exceptional market conditions in Ocean, but also, we believe, by a very successful strategic transformation. We will continue this year to focus on building a better Ocean business. And in Logistics, we want to continue to grow profitably and integrate the acquisitions. As we have discussed, there will be significant cash returns to the shareholders in 2022, around $9.6 billion, 15% of market cap, of which $7.1 billion will be the ordinary dividend as proposed by the Board of Directors. We expect the market conditions to continue into the second quarter, giving us a very strong first half. And then as we have discussed, some kind of normalization is our assumption towards the second half. If it plays out that way, then it will still be a year of exceptional high earnings and free cash flow also in 2022. Finally, let me say I look forward to talking to many of you again when we host our first virtual ESG Day on the 10th of March where we will give you much more insights to our ESG strategy and future in that area. So, thank you very much.